Operator: Hello. Thank you for standing by and welcome to Allogene Therapeutics fourth quarter and full year 2024 conference call. After the speakers' presentation, there will be a question and answer session. Please be aware that today's conference call is being recorded. I would like to turn the call over to Christine Cassiano, Chief Corporate Affairs and Brand Strategy Officer. Miss Cassiano, please go ahead.
Christine Cassiano: Thank you, operator, and thanks to all of you for joining this call. After the market closed, Allogene Therapeutics, Inc. issued a press release that provided a business update and financial results for the fourth quarter and full year of 2024. This press release and today's webcast are available on our website. Following our prepared remarks, we will host a Q&A session. We recognize that historically, questions have been multifaceted, but note that we will endeavor to keep this call to under an hour. I'm joined today by Dr. David Chang, President and Chief Executive Officer, Dr. Zachary Roberts, Executive Vice President of Research and Development and Chief Medical Officer, and Geoff Parker, Chief Financial Officer. During today's call, we will be making certain forward-looking statements. These may include statements regarding the success and timing of our ongoing planned clinical trials, data presentations, regulatory filings, future research and development efforts, manufacturing capabilities, the safety and efficacy of our product candidates, commercial market forecast, and financial guidance among other things. These forward-looking statements are based on current information, assumptions, and expectations that are subject to change. A description of potential risks can be found in our press release and latest SEC documents. You are cautioned not to place undue reliance on these forward-looking statements and Allogene disclaims any obligation to update these statements. I'll now turn the call over to David.
David Chang: Thank you and welcome everyone. It's a pleasure to be speaking with you today. At the start of 2024, we set forth a bold strategy that some viewed as merely words on PowerPoint with a distant horizon. A year later, we stand on the brink of a transformative year at Allogene. Pioneering Allogeneic CAR T therapy was never expected to be easy. It demands vision, rigorous science, relentless persistence, and operational excellence. Today, all three of our key programs are approaching critical milestones marking the tangible progress of our dedication. We entered 2025 stronger than ever, with a differentiated pipeline and a clear path to shaping the future of allogeneic CAR T. Our programs in large B cell lymphoma, autoimmune disease, and renal cell carcinoma are breaking new ground, reinforcing our commitment to making off-the-shelf cell therapy a new standard of care. Our pivotal phase two alpha three trial for ALLO-501A in first-line consolidation large B cell lymphoma is widely considered to be groundbreaking. We are immensely proud of the innovation behind this trial. The enthusiasm from both community cancer centers and leading academic institutions has been truly energizing. And momentum continues to build with forty sites now activated. We anticipate reaching a critical milestone with the lymphodepletion selection and futility analysis around mid-2025. This interim analysis will provide essential insight into whether our approach is on track to meet its objectives, providing a clear signal of progress when we select our lymphodepletion regimen. Beyond oncology, 2024 also marks our official expansion into autoimmune disease with ALLO-329, the first of its kind CD19, CD70, dual-targeting allogeneic CAR T product candidate, powered by our proprietary DAGR technology. Earlier this year, we secured FDA clearance for our Phase one resolution basket trial in rheumatology, an important step towards delivering scalable off-the-shelf CAR T options to the vast number of patients who stand to benefit. The IND clearance for ALLO-329 cements Allogene as a true innovator in the autoimmune disease space. We did not follow the crowd. We deliberately took the time to ensure our approach was differentiated, developing both an investigational product and trial specifically to address the unique challenges of autoimmune disease. ALLO-329 is designed to induce lasting remission by targeting both B cells and activated T cells. An equally important design feature is the incorporation of our DAGR technology, which has the potential to reduce or even eliminate the need for lymphodepletion. If successful, this breakthrough could fundamentally change how CAR T therapy is deployed in autoimmune diseases. With the resolution trial slated to launch in mid-2025, and proof of concept data expected by year-end, we believe ALLO-329 represents a new frontier in allogeneic cell therapy that will showcase the power of our platform to redefine treatment paradigms beyond oncology. In solid tumors, ALLO-316 is emerging as a promising and potentially groundbreaking asset in renal cell carcinoma. The Phase one data we presented last year underscores the potential of allogeneic CAR T therapy to drive meaningful responses in solid tumors, an area where cell therapies have historically faced immense challenges. With our regenerative medicine advanced therapy designation, ALLO-316 has the potential to redefine treatment for advanced renal cell carcinoma, bringing much-needed innovation to patients with limited options. In mid-2025, we plan to share an update from our phase one b cohort focusing on durability, a key factor in improving long-term patient outcomes. From a broader perspective, the momentum across our programs highlights the potential of allogeneic CAR T therapy to disrupt multiple disease areas. We aim to not just compete with autologous therapies, we are demonstrating that allogeneic approaches can surpass them in accessibility and scalability. Our bold pivot in 2024, coupled with our relentless execution, affirms that we have the right team, science, and strategy to make 2025 a breakthrough year for Allogene. One that defines the future of allogeneic CAR T therapy. I would like to now hand the call over to Zach to provide further details on our clinical programs.
Zachary Roberts: Thank you, David. We take great pride in our clinical progress across our R&D organization and the company as a whole. All three of our cutting-edge programs demonstrate significant promise, reinforcing the strength of our science and execution. We are energized by the momentum in our pivotal ALLO-501A trial in first-line consolidation LBCL, the upcoming launch of the Resolution Basket trial with ALLO-329 in rheumatology, and the compelling data emerging from ALLO-316 in advanced renal cell carcinoma. Let's start with the foundation of our programs. The field has questioned for years whether an allogeneic CAR T could deliver durable responses. With multiple patients with relapsed refractory LBCL in ongoing complete remissions beyond four years, we now have proof that our products can achieve that. The Journal of Clinical Oncology's recent publication of our Phase one ALPHA trial results in relapsed/refractory large B cell lymphoma marks a defining moment for the field. These findings represent the most comprehensive allogeneic CAR T data set to date. The study showed efficacy comparable to approved autologous CAR Ts with an overall response rate of 58% and a complete response rate of 42% across the study, increasing to 67% and 58% respectively with the pivotal study regimen. Importantly, treatment delivered exceptional durability with a median duration of response of 23.1 months and median overall survival not reached in patients who attained CR. We also observed a potentially best-in-class safety profile with no cases of graft versus host disease, immune effector cell-associated neurotoxicity syndrome, or high-grade cytokine release syndrome. The median time to treatment was just two days, significantly shorter than the weeks-long wait times required for autologous CAR T. Moreover, these results provide compelling evidence supporting the use of CAR T therapy in patients with low disease burden. A growing body of research indicates that earlier intervention with CAR T when the disease burden is minimal can lead to improved safety and efficacy outcomes. This study reinforces that premise. Among patients with baseline tumor burden of less than a thousand millimeters squared, or normal LDH levels, a key biomarker of low disease activity, complete response rates were 100% and 82%, respectively. These findings strongly support ALLO-501A as a breakthrough therapeutic option for patients with minimal residual disease, which is the population studied in ALPHA3. The first randomized trial evaluating CAR T as first-line consolidation therapy for MRD-positive patients. With ALLO-501A's 100% CR rate in patients with low but still radiographically evident disease burden in these earlier trials, ALPHA3 presents an unprecedented opportunity to both predict relapse and intervene before it occurs. If successful, ALPHA3 stands to upend the standard of care in first-line LBCL, potentially marking the first significant advance to treatment paradigms in the last 25 years. Since the trial's launch in June, we have made steady progress. Today, we have successfully activated 40 of the planned approximately 50 sites with roughly a 50/50 split between community cancer centers and academia. And we are progressing towards the first key milestone in the ALPHA3 trial, which is the lymphodepletion regimen selection anticipated around mid-2025. Beyond signaling progress and accrual, the lymphodepletion selection step is paired with a futility analysis and thus our decision to proceed will be a critical indicator that the trial is on track to meet its objectives based on early data. Moreover, this milestone will help map the registrational path forward, further solidifying our confidence in ALLO-501A's potential to redefine the standard of care. Due to the seamless pivotal design, these early patients' results count towards the pivotal analysis and therefore, we will not be releasing detailed efficacy or safety outcomes to protect trial integrity. Beyond LD selection, we plan to conduct an interim EFS analysis which will be overseen by the independent data safety monitoring board in the first half of 2026. The primary EFS analysis data readout is expected around year-end 2026, with a potential BLA submission in 2027. None of this would be possible without the great partnership of Foresight Diagnostics, their ultra-sensitive CT DNA-based Clarity assay powered by Phase Seek. For this reason, we expanded our strategic collaboration with Foresight to support the development of their MRD assay as a companion diagnostic in the EU, UK, Canada, and Australia to support Allogene's clinical development of ALLO-501A. Shifting gears to autoimmune diseases, in January 2025, the FDA cleared the IND for the Phase one resolution basket trial, a first-of-its-kind study evaluating ALLO-329 in systemic lupus erythematosus, lupus nephritis, idiopathic inflammatory myopathies, and systemic sclerosis. This true basket design brings significant operational efficiencies, allowing enrollment access to a broad patient pool with a single IRB approval. This is one of several differentiating factors that may prove advantageous in this competitive space. The strategy behind ALLO-329 stems from two key observations. First, autologous CAR T data suggest that short-term CAR T persistence is sufficient to reset the immune system in autoimmune diseases, contrasting with the months to even years-long persistence needed in oncology. Since B cell depletion lasts around 100 days in autologous studies, allogeneic CAR T's natural two to four-month persistence makes it uniquely suited for autoimmune therapy. Second, data from our Phase one ALLO-316 program in kidney cancer demonstrated that our DAGR technology intrinsically enhances cell expansion and persistence, allowing us to significantly reduce the intensity of lymphodepletion without sacrificing efficacy. These insights shaped ALLO-329, which includes the DAGR technology and is intended to enable reduction or even elimination of lymphodepletion, a major differentiator in autoimmune treatment. The resolution trial will immediately test the dose escalation pathways. In one, we will use a single infusion of cyclophosphamide at a dose used in rheumatology; in the other, a CAR T only arm with no lymphodepletion relying entirely on the DAGR effect. This trial is set to launch midyear with proof of concept data expected around year-end. With extensive preclinical validation, published data, and an optimized design, ALLO-329 is positioned to be the most rigorously designed allogeneic CAR T program for autoimmune disease to date. Beyond rheumatology, its potential extends to nephrology, neurology, hematology, and even inflammatory bowel disease, paving the way for a new era of CAR T therapy in immune-driven conditions. Last quarter, I highlighted ALLO-316 and its remarkable potential following data that showcased encouraging responses from a single infusion with an impressive 50% best overall response rate and a 33% confirmed response rate in heavily pretreated metastatic kidney cancer patients whose tumors expressed high levels of CD70. Given that update, I'll keep it brief today with just a reminder of the next steps for this promising program. We have completed enrollment in the phase one b expansion cohort, which is assessing the safety, efficacy, and durability of ALLO-316 at dose level two or 80 million CAR T cells following standard lymphodepletion with fludarabine and cyclophosphamide. As we continue to evaluate outcomes, we will determine the best path forward, including the potential to pursue a strategic partnership. We expect to share data from this cohort in mid-2025. I'll now turn the call over to Geoff.
Geoff Parker: Thank you, Zach. I'll focus my remarks on our financials. Our financial position is strong and we continue to operate with capital discipline, ensuring we are well-positioned to advance our pipeline and pursue our strategic objectives. As of December 31, 2024, we had $373.1 million in cash, cash equivalents, and investments, with our cash runway extending into the second half of 2026. Research and development expenses for Q4 2024 were $45 million, including $5.6 million in non-cash stock-based compensation expense. For the full year of 2024, R&D expenses totaled $192.3 million, including $20.4 million in non-cash stock-based compensation. General and administrative expenses for Q4 2024 were $15.5 million, including $7.3 million in non-cash stock-based compensation. For the full year, G&A expenses were $65.2 million, including $31.3 million in non-cash stock-based compensation. Net loss for Q4 2024 was $59.9 million or $0.28 per share, including $12.9 million in non-cash stock-based compensation. For the full year, net loss was $257.6 million or $1.32 per share, including $51.7 million in non-cash stock-based compensation and $15.7 million in non-cash impairment of long-lived asset expense. Turning to guidance for 2025, we expect a cash burn of approximately $170 million. We expect full-year 2025 GAAP operating expenses to be approximately $250 million, which includes an estimated non-cash stock-based compensation expense of approximately $50 million. This guidance excludes any impact from potential business development activities. We'll now open the call for questions. Thank you.
Operator: As a reminder, to ask a question, please press star one one on your telephone. Our first question comes from Tyler Van Buren with TD Cowen. You may proceed.
Tyler Van Buren: Hey, guys. Thanks very much and congratulations on all the progress. My question was just following up on the recent JCO publication that you highlighted and thinking about the read-through as to the ongoing ALPHA3 trial. How do patients with low disease burden in the publication compare to those being enrolled in ALPHA3 as we think about the high complete response rate holding up in ALPHA3?
David Chang: Hi, Tyler. Excellent question. I think one thing that we highlighted in our JCO paper, and this is in fact something that we have been saying for some time, based on what has been seen in autologous CAR T therapies. When you look across patients who have been treated with CAR T, I think this extends not just to CD19, but with other BCMA or other, you know, antigen-targeted CAR T heme malignancies. You know, there is a very strong correlation of likely response as well as likely experiencing, you know, adverse events, serious adverse events. I mean, actually, it's an inverse relationship in the latter case. When the disease volume goes down, the likelihood of response is much higher. And at the same time, the probability of having a serious adverse event goes down. That has been seen, you know, numerous times, and there are many publications on that. And, essentially, in the JCO paper, we are showing that, essentially, the same holds true for the allogeneic CAR T, you know, probably not that surprising. And I think this really goes well for what we are doing, not only in the ALPHA3 study, but also as we think forward into the autoimmune program with ALLO-329. Specifically about your question, in terms of estimating, you know, the disease volume MRD, compared to patients who are starting the frontline study, I'm sorry, second-line study. You know, there is some information that we have done together with Foresight Diagnostics. MRD positivity is about 200-fold less disease volume than patients who are presenting with disease for the start of the second-line treatment. Your particular question about how that compares with the low volume, you know, the two categories of low disease that we have published in JCO, you know, LDH or the tumor measurement. You know, how would, you know, more or less, extrapolate to, like, the same degree of, you know, lower disease volume as we have previously reported together with Foresight in the front second-line setting versus MRD positive.
Operator: Thank you. Our next question comes from Michael Yee with Jefferies. You may proceed.
Michael Yee: Hey, good afternoon. Congrats on the progress. As we are thinking about the mid-2025 futility and lymphodepletion decision, I wanted to get your affirmation that you believe that ALLO-647 is extremely likely to not be needed and that should be the general Wall Street expectation. And I believe that would be a positive for a number of reasons. And then as we get to the first half of 2026, which will be around the corner, it does say that there's an interim DSMB efficacy analysis. What is the criteria, number of events, or is there a very high p-value bar on that? What are you expecting or what should we expect at that interim? Thank you.
David Chang: Hi, Mike. I'm gonna defer your questions to Zach. Zach, can you take those two questions?
Zachary Roberts: Of course. Thanks, Mike, for the great question. So our opinion on the lymphodepletion selection is sort of agnostic. I think you raised a fair point that not needing ALLO-647 brings some attractive attributes like it would be simpler for us. We're registered. It certainly would be cheaper for us to do it that way. However, we see requiring ALLO-647 as actually potentially beneficial as well because that's part of our proprietary regimen, so it would help kind of protect our status here as the only therapy that is optional in this particular clinical setting. So, you know, we have designed this clinical trial to give us a solid answer to that question. Is ALLO-647 needed in this unique clinical trial or is it not? And I think we can work with either independently. Both have upside for us. And the sorry, Mike. Will you repeat the second question? I forgot that one. Yeah. Yeah. Right around the corner. And I think within twelve months or so is the interim by DSMB. Well, what is the criteria? Is it a high bar because you don't wanna spend all there. But, obviously, investors have had great discussions with you about how that the drug is clearly gonna be working here. Could definitely have a chance of hitting there. Thank you. Yeah. So, yes. So we haven't disclosed, you know, a lot of the specifics around the nature of that analysis, such as some of the specifics that you're requesting. Except to say that it is a formal efficacy test where we will be testing the hypothesis with the primary endpoint of event-free survival. There will be some minimal alpha spend. So it is quite possible just given the way this study is designed that, you know, we could end up with a statistically significant finding there. Which would, of course, allow us to initiate conversations, you know, with the FDA, begin to kind of move more briskly across the other elements that need to fall into place to launch the program in the coming months after that. So, you know, we are looking forward to that analysis. And in either case, whether it meets statistical significance or it doesn't, you know, we look towards that as a very significant sort of milestone in the delivery of this program.
Michael Yee: Thank you.
David Chang: Thank you.
Operator: Our next question comes from Salveen Richter with Goldman Sachs. You may proceed.
Salveen Richter: Hey. This is Mark on for Salveen. Thanks for taking our question. For ALLO-329 and the trial starting soon in autoimmune disease, what data are you looking to show by year-end to demonstrate proof of concept? Maybe more importantly, since there are many CD19 players and also allogeneic players showing data this year, how do you think your approach is differentiated, and could your year-end data support said differentiation? Thanks.
David Chang: Hi, Mark. This is David Chang. Let me take on that question. So ALLO-329, we have cleared IND, and we expect to initiate the clinical study mid-2025. And we have been guiding towards proof of concept data towards the year-end. The number of patients that we expect to treat in 2025, because this is a dose escalation phase one study, will be somewhat limited but it will be a handful. And what we are looking for is biomarker-based proof of concept. One, do allogeneic, you know, ALLO-329, do they expand well? I think those are very important information. And second, do we achieve the B cell while also allowing some of the B cell recovery to occur? These are some of the important information that will lead to the proof of concept. And, also, in some of the patients that we treat, we expect them to have oral antibodies and the measurement of oral antibodies before and after the treatment. That could also give a lot of insight into what the program is doing. In terms of differentiation of ALLO-329 to many other programs that are currently in the autoimmune space, I think the key is that one, this is an allogeneic program. And two, this has the ability to not only deplete the B cells but also activated T cells, which contributes to the overall pathogenesis of autoimmune disorders. How the latter would translate, I think, we will have to see the clinical data. But, you know, possibilities are being able to address the T cells can allow us to go to indications that CD19 B cell targeting therapies may not necessarily be sufficient. And another potential benefit of targeting T cells is that the remission may be much longer because you are eliminating not just the B cells, but also T cells.
Mark: Awesome. Thank you.
Operator: Thank you. Our next question comes from Brian Cheng with JPMorgan. You may proceed.
Brian Cheng: Hey, guys. Thanks for taking our question this afternoon. David, I'm just curious if you can provide a little bit more comments around your latest thinking around incorporating potentially other milder lymphodepleting agents or even completely removing the standard side flu that you're using. Any color on timeline and what is really the fastest and the best way to kind of sort that out? Thank you.
David Chang: Yeah. I mean, you know, Brian, excellent question. So in the planned study, you know, first of all, the lymphodepletion that we will be deploying is a milder lymphodepletion. We have taken out fludarabine. So one cohort will be treated with cyclophosphamide alone as a lymphodepletion. In the second one, we have also clarified when we announced the clearance of IND is that in parallel, there'll be a second cohort where we will be testing without any lymphodepletion. So now a little bit to your question as well as to the previous question from Mark is really the phase one study is built in to address the key questions about ALLO-329, whether you can achieve the objective with milder which will be fantastic news, or even without any lymphodepletion, which will be phenomenal for this program.
Operator: Thank you. Our next question comes from Sami Corwin with William Blair. You may proceed.
Sami Corwin: Hey there. Congrats on making the progress this quarter. Thanks for taking my questions. I was curious what increase or difference in event-free survival is ALPHA3 powered to show? And then I noticed in your 10-K that it said that if both treatment arms look better than the control at the futility analysis, but they don't look any different than each other, that additional patients could be enrolled and analyzed. So I guess what kind of difference are you looking to see between the two treatment arms? And if they do look similar, would you pursue the lymphodepletion arm without ALLO-647? Thank you.
David Chang: Yeah. Sami, I mean, the question about the powering of the ALPHA3 study, I mean, the primary endpoint is event-free survival. You know, we haven't gotten into the specifics about the powering of the study other than saying, you know, with the targeted about 110 patients each for comparison, this study is very well powered. And this also goes back to the earlier question around, you know, from Mike about what could be possible at the interim analysis which will happen early 2026. Yeah. We are spending some alpha. And, you know, obviously, we believe that there is some possibility, which may be not so small, that the statistical boundary may have crossed at the time. And, frankly, if you look at what has happened with CAR T studies in the second-line study, you know, whether it's Yescarta or Breyanzi study, the sample size, number of patients that was treated in the second-line study, which was comparing CAR T with the active treatment, it's around, you know, 260 to, you know, some mid-300, you know, not so dissimilar. So those studies, obviously, will, you know, show the statistical significance in the media. So I think that, you know, it's probably some good reference to think about how ALPHA3 study may have been powered. And, you know, your second question about, you know, what we have disclosed in the 10-K, we have provided a little more guidance about how many number of patients that we'll be looking at as we start looking at the futility as well as selecting the lymphodepletion. And here, obviously, if we don't see any difference, you know, there are possibilities that we may want to have some more patients to see whether the difference is more significant or not. Another possibility is that at the time of reviewing about 36 patient data, that may provide sufficient information for us to make the lymphodepletion. We will get there, and this will be very much data-driven. So probably, you know, it's best that we wait till that time point rather than speculating too much.
Sami Corwin: Got it. Thank you.
Operator: Thank you. Our next question comes from Jack Allen with Baird. You may proceed.
Jack Allen: Welcome. Thank you so much for taking the questions and congrats on the progress. I just wanted to ask about the futility analysis as well. How should we be thinking about the futility analysis as it relates to the comparison? Is it a comparison against the control arm here, or is it against some sort of hurdle rate? And then on what metrics will you be looking at to evaluate futility? Would it be MRD conversion, response rates, or any early survival data? Thanks so much.
David Chang: Yeah, Jack. Let me just take this question. You know, we get asked about the futility question. There isn't anything unique about the futility analysis that we are doing. This is a very standard thing that many phase three studies, sometimes even phase two studies, will be doing. What gets looked at in the futility analysis is really the totality of the data. You know, you can look at the safety. Obviously, we want the safety to be tracking close to our expectation based on what we have seen in the ALPHA3 study. And, you know, there is a significant imbalance in the safety, you know, between the observation control arm versus two treatment arms. And then the second one is the sort of the signs of efficacy. And here, we will be relying primarily on the MRD conversion rate. So every patient who gets enrolled in the ALPHA3 study starts with MRD positive, you know, both the control as well as the two treatment arms using different lymphodepletion. The expectation is MRD conversion will be heavily, you know, upgrading more, you know, it's gonna be more in the treatment arm compared to the observation. So that will be essentially the futility that we'll be looking for. Then afterwards, you know, once that futility has been crossed, you know, we'll be looking at the two treatment, two lymphodepletion arms to see which one is better.
Jack Allen: Got it. Thanks so much for calling.
Operator: Thank you. Our next question comes from Biren Amin with Piper Sandler. You may proceed.
Biren Amin: Yeah. Hi, guys. Thanks for taking my question. I think, you know, for the ALPHA3, your prior guide has stated that patient enrollment would complete by the first half of 2026. So I just want to see if you're continuing to track towards that timeline. Then I guess the second question is I think you mentioned that the split in the trial is fifty-fifty between community versus academic in terms of sites. How about the patient split? Is that fifty-fifty as well?
David Chang: You know, Biren, in terms of the overall trial, you know, guidance, you know, we are now focusing more on the data readout, you know, which has not changed. And, obviously, you know, your particular question around the trial completion, I think we are more or less tracking around that time. And, obviously, as we progress with the study, you know, we'll provide more information. With respect to your second question, can you just repeat the second question? Yeah. I think you mentioned in terms of the trial split, the site split is fifty-fifty across the forty sites that you've activated between community and academic. Yes. Yes. Yes. And so I want to understand if the patient's a bit similar as well. Yeah. Let me pass that question to Zach to provide more details on, you know, in terms of the site distribution across community versus academic centers.
Zachary Roberts: Yeah. Thanks, David, and thanks, Biren, for the question. Yeah, Dave, you're correct that it's about fifty-fifty split right now. With about four-fifths of the sites activated community versus academic. As far as the patients coming in, what I can say is that we haven't seen a heavy skew in one direction or the other. I can't say it's exactly fifty-fifty. But what I can say is that we are seeing robust activity in both the community centers as well as the academic centers.
Biren Amin: Great. Thank you.
Operator: Our next question comes from John Newman with Canaccord Genuity. You may proceed.
John Newman: Hi, guys. Thanks for taking my question. Just wondered on the initial data for ALLO-329 at year-end 2025, just curious if you know how much follow-up you might have if you would be able to look at one month or maybe three. And then also given the mechanism of action for ALLO-329, is there a way that you can look at not just the B cell depletion, but also potentially depletion of the active T cells? Thanks.
David Chang: Yeah, John. Great question. It's something that we constantly talk about internally. Let me pass off to Zach to answer the questions about the length of follow-up that we may have and what else we will be looking at in the biomarker analysis.
Zachary Roberts: Yeah. So thanks, John. So we haven't said exactly how much follow-up we expect to have, and we have said that, you know, with the trial starting middle of this year, and us obviously moving as quickly as we can, we should have a handful of patients treated hopefully by the end of the year. And, you know, a little bit of follow-up. I mean, what we've guided towards in terms of proof of concept is, as David pointed out earlier, the biomarker data, so B cell depletion as well as expansion of the CAR T cell. And we'll have some early safety results too. So, you know, we can gather that information in relatively short order in a clinical trial. We won't really have a significant read on durable efficacy, of course, by the end of this year. You know, diving into your second question on the specific analysis that we plan to conduct, so obviously, B cells is a must-have. But the T cells, as we have shown in the ALLO-316 program, is going to be an area of focus as well. And what I think we've elegantly shown, such as in the SITC data just a few months ago, is that we can really parse out the CD70 positive versus the CD70 negative cells in the patients. And really that is what has given us the foundation that has validated the DAGR effect in patients. So we'll be doing very similar analyses in ALLO-329 and seeing whether we are seeing that evidence of a strong DAGR effect in these patients.
David Chang: Great. Thank you.
Operator: Our next question comes from Ashita Goodwin with Truist. You may proceed.
Ashita Goodwin: Hey, guys. Thanks for taking my questions and appreciate all the color today. Want to follow-up on John's excellent question on the resolution study. It's great to see that you guys are aiming to explore the lymphodepletion-free strategy as well here. Want to ask you this. How much follow-up do you need to answer that question? And I ask because just in some of these indications they're going after, the KOLs out there like to see maybe a treatment benefit up to six months or even a year. Do you think you'll need to do that, see it all the way up to them to really answer that question of whether or not you can go with the lymphodepletion-free strategy? And then a second quick follow-up on the JCO publication. All the durable responses were CRs, and it also goes further to say that all six patients with low disease burden had CRs. I'd like to confirm, are those the six patients that are the ones that are still in response on the swimmer at the data cutoff on that paper? Thanks.
David Chang: Yes. Take that. So two questions. Let me take the ALLO-329 resolution question about whether we need to follow the patient for longer. Definitely, without question, we will be following these patients longer than the initial biomarker data analysis. So the way we see it is a biomarker, especially B cell depletion and cell expansion or antibody titer changes. I think these are very, you know, great telltale signs around whether the treatment is ALLO-329 is behaving as we have expected. And, you know, obviously, as we follow these patients, you know, we will get more information about the clinical outcome. Including, you know, if some of these patients go into complete remission, you know, how long that may last. I mean, those are much longer follow-up, and they will not be part of the initial data release that we are projecting year-end. The second question, you know, I'll pass off to Zach to respond.
Zachary Roberts: Yep. Thanks, Ashita. So the first thing to kind of keep in mind is, as you pointed out in your question, the most important outcome after any treatment at all, whether it's CAR T cells or anything else, is that you achieve a complete remission. That is obviously the number one thing because if you don't get to a complete remission, your chance of durable cure is zero. So, you know, that's the first thing to keep in mind. What we showed in our subgroup analysis is that if you had low disease burden as assessed by either the tumor measurements or by the serum LDH, you had an extremely high chance of achieving that must-have clinical scenario of a complete remission. That said, you know, we want to also tout that the ALLO-501A product itself is a very potent product. Obviously, it's very active as the JCO paper indicated. And we actually had plenty of patients that had bulky disease that achieved durable CRs as well. It was a little bit of mixing and matching.
Ashita Goodwin: Thank you.
Operator: Our next question comes from Matthew Biegler with Oppenheimer. You may proceed.
Matthew Biegler: Hey, guys. Thanks for the question. I'll ask another one on Resolute but maybe in a slightly different way which is hypothetically, how much efficacy are you potentially willing to leave on the table to get away with no lymphoconditioning, i.e., you know, is no lympho conditioning really a game changer? Is it just a nice to have in your opinion? Thanks.
David Chang: Yeah, Matthew. Excellent question. You know, you are asking things that are highly debated internally. I mean, probably the best way that I can sort of discuss is, you know, lymphodepletion is a potential barrier. And, you know, if you can lower the lymphodepletion, you know, that's a big plus. And if you can eliminate, you know, that's really, you know, a big game changer. But, you know, frankly, probably the best way to think about it is, you know, when it doesn't require it doesn't have the burden of lymphodepletion, it can be used more widely. You know? So it really creates the potential to treat not only autoimmune disorders with a high severity, but also moderate severity. So it gives a lot more opportunity to address different patients. So, you know, is yeah. We would love to have no lympho. I think even, you know, just lowering the lymphodepletion would be a significant win for the ALLO-329 program.
Matthew Biegler: Appreciate it.
Operator: Thank you. Next question comes from Luca Issi with RBC Capital Markets. You may proceed.
Shelby: Hey, guys. This is Shelby on for Luca, and thanks for taking the question. On ALPHA3, it's our understanding that there's an option for inpatient or outpatient treatment. Is that decision left up to the investigator? And how should we think about the mix of patients who will be treated outpatient versus inpatient? Any color there, much appreciated. Thanks.
David Chang: Yeah. Shelby, I'm gonna ask Zach to respond to your question, Zach.
Zachary Roberts: Yep. Thanks, David and Shelby. So indeed, you know, there is no requirement at all for inpatient either LD or cell administration. It is entirely up to the investigator on a case-by-case basis. I will say that, you know, we are seeing, as we've seen for a long time in our ALLO-501A programs even in the ALPHA and ALPHA2, we are seeing a significant number of these patients being treated fully as an outpatient. And, of course, that is, you know, part of the vision for this product is that it's going to be easy to administer in the clinical settings where these patients receive frontline care. As for sort of specific characteristics that would lead to a patient being treated inpatient versus outpatient, there are a host of them. I won't go into them now, but, you know, the ALPHA3 study is that all of these patients are going to be in remission when they receive their ALLO-501A and their lymphodepletion. And as David pointed out earlier in the call, patients with low disease burden tend to have better safety outcomes than those with high disease burden. So on balance, we would expect a significantly greater fraction of these patients over the duration of the study to be managed fully as outpatients. And that is our expectation.
David Chang: Yeah. And also, if I can add, you know, one color to that response, Shelby. I mean, I think the important thing is that, you know, ALPHA3 study, you know, we do not require hospitalization. And in that way, in essence, what that's doing is, you know, this trial is just like any other trial. And whether the physician, you know, does with that information, you know, whether they decide to treat as a fully outpatient or, you know, maybe, you know, put them in the hospital for a day or two. I mean, you know, that's essentially, you know, how the practice is done in not just in the U.S., but in any other, you know, cancer treatment. So it's really giving the, you know, patient and the physicians the option on how they want to receive the investigational therapy in the ALPHA3 study. Thank you.
Operator: Our next question comes from Samantha Semenkow with Citi. You may proceed.
Samantha Semenkow: Hi. Good afternoon. Thanks very much for taking the question. Some of your autologous CAR T counterparts have spoken about a push to expand into large community oncology centers that could potentially overlap with your ALPHA3 trial sites. I'm wondering to what extent are you seeing this infrastructure being built at the community centers you interact with? How much of this groundwork do you think could be in place by the time you potentially launch ALLO-501A? And how are you thinking about your ability to leverage this infrastructure for the launch? Thanks very much.
David Chang: Samantha, excellent question. I think, you know, the effort, not just by us, you know, but also in the entire CAR T community to move into the sort of community-based cancer centers. I think that's just gonna, you know, expand and expand the usage of CAR T. I mean, that's a very important aspect of any product launch and, you know, product life cycle management. I think in many ways, here is where the allogeneic CAR T really plays favorably. I mean, you know, not having the logistical challenge, you know, it's just being able to ship the product when the patient needs treatment. And, also, in our case, as we're learning, you know, as we improve the manufacturing, you know, the scalability of the manufacturing, all these things are playing in our favor. So, you know, as the effort from autologous CAR T, you know, companies, you know, to expand their use into the community cancer centers. We see that as a positive thing for the field, and we also see that as a positive thing, you know, for what we are doing with the ALPHA3 study. Thank you.
Operator: Our next question comes from Ben Burnett with Stifel. You may proceed.
Carolina Ibanez Ventoso: Hi. This is Carolina Ibanez Ventoso for Ben. Thank you for taking our questions. First, on the interim analysis of ALLO-501A in mid-2025, can you remind us when you are measuring the MRD conversion? Is it at one month post ALLO-501A infusion or later? And I have a follow-up.
David Chang: Yeah. We're trying to limit the questions to one. Zach, you want to take the question about the timing or the MRD test?
Zachary Roberts: Yeah. Thanks, Carolina. We have not disclosed exactly the timing of that draw. And as David pointed out earlier, of course, there'll be other elements that we're assessing to make that lymphodepletion decision in addition to the MRD conversion.
Carolina Ibanez Ventoso: Okay. Understood. Thank you.
Operator: Thank you. Our next question comes from Laura Prendergast with Raymond James. You may proceed.
Laura Prendergast: Hey, guys. Can you elaborate a bit more on the registrational path for the Foresight MRD test and how it relates to the registrational path for ALLO-501A in first-line lymphoma? Thanks.
Zachary Roberts: Hey, Zach. Do you want to take that question?
Zachary Roberts: Yeah. That'll be an easy one. Thanks, Laura. You know, the plan has been all along to have a concurrent launch of these products at the time of the FDA approval. The specifics around the path to registration of the MRD test, so I would refer you to the Foresight management.
Laura Prendergast: But you don't foresee it being an issue at all with getting ALLO-501A approved in first line.
Zachary Roberts: No.
Laura Prendergast: Got it. Thanks.
Operator: Thank you. That concludes our question and answer session. I would like to turn the conference back over to management for any additional comments.
David Chang: Alright. Thank you. I just want to reiterate, you know, Allogene entered 2024 with a bold strategy. And today, we stand on the brink of a transformative year. With three pioneering programs each approaching critical milestones, we are proving that allogeneic CAR T has the potential to redefine patient care. So thank you for your ongoing belief in Allogene, and the field of cell therapy. Operator, you may now disconnect.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now log off and disconnect.